Operator: Thank you for standing by. My name is Valerie, and I will be your conference operator today. Welcome to the Canadian Tire Corporation Earnings Call. All lines have been placed on mute to prevent any background noise. . I will now pass along to Karen Keyes, Head of Investor Relations for Canadian Tire Corporation. Karen?
Karen Keyes: Thank you, Valerie. And good morning, everyone. Welcome to Canadian Tire Corporation's second quarter 2022 results conference call. With me today are Greg Hicks, President and CEO; Gregory Craig, Executive Vice President and CFO; and TJ Flood, President of Canadian Tire Retail. Before we begin, I wanted to draw your attention to the earnings disclosure which is available on the website, and includes cautionary language about forward-looking statements, risks and uncertainties, which also apply to the discussion during today's conference call. After our remarks, the team will be happy to take your questions. We will try and get in as many questions as possible, but we do ask that you limit your time to one question plus a follow-up before cycling back into the queue. With that, I will turn the call over to Greg.
Greg Hicks: Thank you, Karen. Good morning and welcome, everyone. I'll start by saying there's no doubt we've entered a challenging environment with inflation accelerating to its highest level since 1983 and multiple interest rate hikes including since the end of the quarter. I would never suggest we are immune to these macroeconomic trends. But as we've seen before, our mix of banners and product categories provides us with some protection.  Throughout our second quarter, customer demand for our unique multi-category product assortment remains strong, and overall there is a lot to like about our second quarter results.  Our retail team's disciplined exit execution, including their outstanding focus on both inventory and margin management, enable us to achieve strong comparable sales growth of 5% despite some unseasonable weather. We achieved our top line with a retail gross margin rate that was flat against last year despite inflation and freight costs. I'm very pleased with our team's ability to manage our inventory, especially considering what we're seeing with large retailers south of the border.  It was also a strong quarter for our bank. Revenue and receivables grew by a healthy 15% which drove an increase in the ECL allowance.  Our OpEx was up over Q2 of last year, which should not come as a surprise. As a reminder, in the second quarter of last year, we were facing multiple closures and restrictions across the country, especially in Ontario, where most of our stores were closed for 70% of the quarter. As to be expected, stores being opened drove increased labor cost and the lifting of restrictions contributed to our increased marketing spend relative to Q2 of last year.  And as I said at our investor day in March, we are continuing to invest to modernize and grow our business. And this includes continued investment in our supply chain and IT capabilities, which Gregory will speak to in his prepared remarks.  As you know, in March, we temporarily paused are Helly Hansen operations in Russia, and now we are formally exiting the market. This decision meant a CAD 36.5 million one-time expense in the quarter. These one-time expenses offset our strong revenue growth and impacted our EPS, which came in at CAD 3.11 on a normalized basis.  I'm confident that our teams will continue to prove that we can effectively navigate a challenging and dynamic environment, while remaining focused on the delivery of our long term strategy.  Similar to last quarter, the remainder of my prepared remarks this morning will focus on how we are executing our better connected strategy, starting with how we're supporting our communities.  In Q2, Canadian Tire Jumpstart charities continued to make life better for kids and families across the country. Our charity will soon achieve an incredible milestone â 3 million kids helped and is making phenomenal progress on its inclusive play project. Jumpstart is on track to have completed construction on 33 accessible play spaces by the end of 2022. And this equates to providing approximately 500,000 square feet or more than six Canadian Tire stores worth of space where all kids of all abilities can play together.  And Jumpstart's momentum is set to accelerate. In 2022, Sport Canada announced jumpstart as one of the first two national recipients of their Community Sport for All initiative. This CAD 6.8 million grant enables jumpstart to help an additional 50% more grassroots sport organizations and is a clear demonstration of the belief and trust that Canadians, including the federal government, have on our charities work.  Jumpstart is an obvious example of how we're making life in our communities better. But it's not the only example. As recently outlined in public first economic impact assessment of CTC, together with our associate dealers, we generated an estimated CAD 150 billion in economic impact over the last decade. In 2021, our gross value added was CAD 18 billion, which is equivalent to supporting 160,000 jobs.  Overall, the report clearly shows that our brand purpose is not simply words we say, but a fundamental truth about who we are and what we are in service of. This will be further reinforced in September when we publish our first ever ESG report that will tell not only the story of how far we've come, but also provide an honest assessment of our journey ahead. We're committed to furthering our ESG priorities because anything less would be contrary to our brand purpose. In addition to making life better in our communities, our brand purpose guides how we show up for our customers. We remain focused on the acquisition engagement of Triangle Rewards loyalty members, because, as I mentioned previously, members spend more, their average basket size is higher, and they shop across multiple banners and channels. In Q2, we welcomed 594,000 new Triangle Rewards loyalty members. And on a rolling 12-month basis, our loyalty sales as a percentage of retail sales was 59%.  We continue to drive member engagement and loyalty spend per member grew in the quarter compared to last year. And we're testing new and innovative ways to drive member acquisition and engagement. As you'll recall from March through June, we ran a Gas+ plus promo in which we added more value at the pump by doubling Triangle Rewards when customers fueled up at any gas station across Canada. This promotion increased our share of wallet, but as I mentioned last quarter, was also focused on Triangle member acquisition and engagement.  Through the promotion, more than 1 million loyalty members bought gas with us. And of these 1 million, more than 100,000 were new to Gas+, an additional 100,000, many of whom hadn't bought gas with us since 2019, reengaged with Gas+. We also issued CAD 10.5 million in ECTM through the promotion, which will ultimately drive customers back to our stores. Overall, these results are encouraging, and we will continue to measure the engagement of this cohort.  Looking at how our customers shopped us in Q2. It's clear we're continuing to see a more accurate reflection of customer choice in terms of how they are shopping across our banners. ecommerce sales remain well above pre pandemic levels.  We continue to invest in our omnichannel capabilities. In Q2, we rolled out DoorDash nationally at our SportChek stores, and now have close to 100% coverage across the network with two hour average delivery times.  Our physical stores remain critical to providing a seamless omnichannel experience. And in Q2, we completed 12 CTR store update projects, adding an incremental 104,000 retail square feet to our network and we updated an additional 729,000 of retail square feet.  From expansions to remerchandising interventions to a brand new store in Saskatchewan that's now twice the size of the previous store, these projects were approached with a clear focus on providing a better, more seamless customer experience. Through these projects, we've implemented some of the latest retail strategies and designs, such as analytics-driven assortment and category space, covered customer pickup areas for ecommerce and bulk products, enhanced warehouse and receiving capabilities and onsite tire storage. And we're just getting started. We have another 24 store update projects planned for the fall.  Moving on to our product assortment, as I mentioned off the top, in Q2, we experienced some unseasonable weather, as demonstrated by the fact that at Mark's, outerwear sales were up 53% while shorts were only up 3%. But we're a 100 year old company that's experienced 100 years of weather, and we're well equipped to navigate on seasonable seasons thanks to the breadth of our multi-category mix.  Although the weather has an impact, we continue to manage category demand variances with agility. When we're slightly down in one category, we adjust to be up in another, and Gregory will speak about this in more detail shortly.  But I'll give you a couple of highlights. Unlike what we experienced during the height of the pandemic, Automotive was the strongest performing division this quarter, up 15%. And Pro-Series, an automotive parts owned brand, that was developed in house and first introduced at PartSource, is now well on its way to becoming a CAD 100 million brand. In terms of our own brand portfolio overall, sales remain strong, contributing close to 38% of sales in the quarter across our banners.  And finally, before I turn it over to Gregory, I want to provide an update on Roller Labs Ventures, our innovation investment portfolio. As I explained at our AGM in May, by partnering with the venture capital community in Canada, we will support Canadian innovation by enabling startup companies to grow, commercialize their solutions and compete both domestically and globally. At the same time, this will accelerate our strategic capabilities from customer insights and experience to product innovation to operational efficiency.  Our focus on supporting Canadian innovation requires strong and experienced leadership. And I'm pleased to announce that Bob Hakeem has been appointed to lead our Roller Labs Ventures function. Bob joined CTC last summer after a long tenure at another large global retailer and he's been instrumental in helping to develop the roadmap for our better connected strategy. Bob's breadth of experience and understanding of our business make him the ideal leader to define the capabilities we require to succeed and grow and invest accordingly. And with that, I'll pass the call over to Gregory.
Gregory Craig: Thanks, Greg. Good morning, everyone. Before I take you through the details of the quarter and the operational focus that drove the performance, let me start with the headline EPS numbers.  Within reported diluted EPS of CAD 2.43, there were two items to normalize this quarter, which collectively represented CAD 0.68 of impact compared to 2021. The first item was a CAD 36.5 million of cost in relation to the exit of Helly Hansen operations in Russia, which Greg spoke to earlier. This accounted for CAD 0.56 of the variance at EPS level. We had also just shy of CAD 10 million of operational efficiency program costs. Normalizing for these two items took diluted EPS to CAD 3.11. Within that normalized EPS, there were also a few things to call out. So let me give you a quick rundown of some of the items that affected us down the P&L and how it came together to deliver that CAD 3.11 in normalized EPS.  The top line came in strong in both segments. Retail comparable sales were up 5%, after exceptional sales growth over the past two years. And we held retail margin in face of higher freight costs, although we saw some dilution from higher petroleum sales at the consolidated level.  At Financial Services, we continue to grow the receivable base by almost 15% as customer activity increased and we added new cardholders. But the growth in receivables lead to a CAD 26 million increase in the ECL allowance against a quarter last year where we saw a reduction in the allowance, leading to a CAD 58 million variance in the ECL allowance and a lower CTFS gross margin. That variance represented about CAD 0.56 compared to Q2 last year at the EPS level.  And in the other expense line, CAD 18 million of the variance over last year was a result of recording a currency loss this quarter versus a gain a year ago. The variance was around CAD 0.22, with a loss of around CAD 0.15 included in normalized EPS in Q2 of this year. This was driven by the significant volatility of the NOK compared to the US dollar in the quarter.  So with that, let's dive right into the retail business results. As I usually do, I will focus most of my comments this morning on the results excluding petroleum. Although it was another strong top line quarter for our petroleum business as people returned to driving. Comparable site volume growth was up 15% and increasing prices drove revenue up 70%.  Turning to comparable sales growth excluding petroleum. The 5% growth we saw came to us across all our retail banners. Growth in Ontario was strong, particularly in the latter part of the quarter, as many stores were closed for in-store shopping and others face store restrictions until mid-June last year.  Now, let me share some highlights with each of the banners starting with CTR. CTR comparable sales were up 3.9% in the quarter. Automotive was the strongest performing division this quarter, up 15% or CAD 90 million against last year. With cars back on the road and a shortage of new cars, categories associated with maintaining your vehicle drove disproportionate growth with auto maintenance up 27% compared to last year. Auto fluids and oil grew as we continue to prioritize being in stock with a good assortment in relevant categories.  And we're also in a strong in-stock position as customers came to us for brake repair and seasonal tire changeovers, which drove growth in parts and tires. Our living and fixing divisions also grew with trip frequency driving sales of products like pet accessories and cleaning products.  Unusual spring storms, rather than hot sunny days, led to a shift in the kinds of need-it-now or impulse sales, with sales of power generators and water pumps up and pool floaties, trampolines and pressure washers down. And as you would expect, given the weather in the quarter, sales of items like patio furniture and bikes, which did well in Q1 and Q2 of last year, shifted later into Q2 and the start of Q3 due to the late arrival of spring in many parts of the country. And on an overall basis, we saw a decline in seasonal and plain. Sales in these categories still remains significantly above 2019 levels.  Revenue was up 2.2% at CTR compared against a 15.7% increase in Q2 of last year and Q1 of this year when revenue was up 13.4% to replenish on the back of a strong spring, summer and non-seasonal sell-through. Some of this quarter's revenue growth was attributable to dealer replenishment of automotive categories, including tires and non-seasonal categories, which as you know, typically, drive sales in Q3.  As we've discussed previously, over the long term, the growth patterns for revenue and sales tend to converge. And in fact, they've crossed over since the last quarter when revenue was outpacing sales. On a rolling 12 basis, sales are now outpacing revenue growth, but the two metrics remain within 210 basis points of each other.  At SportChek, comparable sales were up 4%, while total sales were in line with last year. This will be the last quarter we will be cycling the sales at National Sports, which accounts for the difference between these two metrics.  Getting national brands on shelves in the quarter was challenging, giving supply chain issues, but the hard work the team put in meant we got our fair share relative to others in the market. And we were in stock in key categories, which helped across the SportChek banners. The continued resumption of organized team sports, particularly baseball and soccer, drove growth.  Licensed clothing was also up with the return of spectator sports, including the NHL playoffs, the Blue Jays return to Toronto, and increased attendance at Raptors games, contributing to higher customer demand. Hockey also continued to enjoy a tailwind into the second quarter.  We had a higher mix of in-store sales with the stores fully open. And again, this quarter, margin benefited from the improvements we were making around inventory and promo management. Selling a better mix of regular priced product is driving better productivity and profitability and allowed us to more than offset higher freight costs.  Now turning to Mark's which recorded its eighth consecutive quarter of exceptional sales growth. Comparable sales were up 21% against exceptional comparable sales of 43% last year.  Growth was broad based with jeans, industrial footwear and workwear being the strongest performing categories. We continue to be focused on redefining and broadening the appeal of the Mark's brand, while retaining some of the new member spend that has come via Triangle member engagement over the past two years. The team continued to work hard to get products to the shelves. We were well stocked for higher levels of in-store shopping, and labor efficiency initiatives and a focus on inventory management drove higher inventory turns in the quarter.  Turning to Helly Hansen now. Revenue growth was a phenomenal 39% and 50% on a constant currency basis. Here too, the growth was broad based across sport, workwear and Musto, and some build of our sales in wholesale channels as we head into the big fall winter season.  All regions delivered double-digit sales growth, and the growth was particularly strong in North America, which represents almost a quarter of Helly Hansen revenue. Both Canada and the US were up significantly as we introduce new products at our banners and continue to strengthen our distribution capabilities.  Retail gross margin rate excluding petroleum remained basically flat to last year, despite absorbing significant freight headwinds as fuel prices spiked suddenly, and we saw some product cost inflation in the quarter across our retail banners. Offsetting these through targeted promotions and improved product margins and the shift to higher mix of in-store sales drove rate improvements at Mark's and Chek and took us a good part of the way at CTR, although the margin rate did decline modestly there.  As we've discussed in previous quarterly calls, margin rates may fluctuate from quarter to quarter, but we remain very pleased at the long term trend in margin rates and how the teams are taking actions to offset headwinds.  Now, turning to OpEx. Growth in normalized OpEx levels where running slightly above revenue growth at the end of Q2 with OpEx just over 9% and revenue excluding petroleum up just under 9% on a year-to-date basis. Our normalized consolidated OpEx ratio as a percentage of revenue was 26.1% on a year-to-date basis, or around 46 basis points higher than 2021.  Marketing costs and store operations expense were higher than last year, given stores were open for the whole quarter, and we had some additional marketing expense in relation to our 100th anniversary campaign. As was the case last quarter, our IP spend is running at a higher level than last year as we roll out the strategic and sustaining investments in digital we spoke to as part of our strategy and as we transition to a cloud based IT infrastructure, which hits the P&L as expense instead of being capitalized and depreciated.  Volume related supply chain costs continued to run at higher levels in pre pandemic due to the increased sales volumes. And we've ordered early to ensure receipt of our fall/winter products. And finally, these increased costs are being partially offset by the operational efficiency program.  Now turning to Financial Services. We know there remains economic uncertainty due to increasing interest rates and inflationary pressures, and we continue to monitor our key indicators. The team has a clear playbook that can be implemented quickly if we see changes over the coming quarters. That was certainly not needed in Q2.  In fact, the increase in ECL allowance was attributable to the incredible growth we're seeing in the credit card portfolio with both new customers reengaging in spending and new card members also being added.  As we said at Investor Day, acquisition of new card members and continued engagement with existing card holders is the basis for growth in 2022 and will sustain and grow profitability in the later years. It is a crucial part of the customer flywheel and accelerates our strategy. The ECL impact drove lower margin in IBT. But overall, we had another quarter of very strong operational metrics and increased customer activity.  Credit card sales grew 25.4% compared to 2021, driven by strong sales at CTC retail banners, as well as across other categories outside of CTC. Average active accounts were up 7.6% as we successfully increased marketing investments to acquire accounts across all channels and engage existing card holders. Increases in credit card sales, partially offset by higher payments, drove average receivables up 14.6%, which translated into higher revenue. Our PD2+ rate was up a little to 2.4% from 1.7% this time last year, but remains below pre pandemic levels as does our net write-off rate.  The allowance rate came in below 13% for the first time since 2019 and down 100 basis points from last year, while remaining within our target range of 11.5% to 13.5% on the backs of sustained strong payments and lower delinquencies. IBT was below last year at CAD 90 million, reflecting the CAD 58 million year-over-year increase in variance due to the ECL allowance increase.  Turning now to the investments we're making in the business. Operating capital expenditures were CAD 170 million this quarter with around 60% focused on enhancing the omnichannel customer experience and renewing the CTR store network, a priority we set out at Investor day. 12 stores were updated this quarter, and we will continue to invest at a steady pace for future growth, with around double that number of stores due to launch in the fall, including our two remarkable retail stores in Welland and in Ottawa.  The expansion of our Montreal distribution center, which added more than 320,000 square feet of capacity, was also completed this quarter. This incremental space will drive supply chain savings and efficiencies over the medium term by allowing us to reduce the temporary onsite and offsite warehousing solutions that we've previously had in place to deal with excess volumes. We continue to remain focused on our operational efficiency efforts while investing to support our growth agenda.  As we said before, retail ROIC continues to be a key metric for us in evaluating the efficiency of our capital allocation decisions. Retail ROIC was 13.5%, reflecting the current quarter earnings, and as we roll off some very strong quarters of earnings in 2021 and invest more to support the key initiatives under our Better Connected strategy.  A lot of hard work went into this quarter. And I want to close by thanking our employees and our dealers who are there for our customers and for our shareholders who continue to invest in us. We continue to ensure we have operational discipline around the things we can control and invest in strategic initiatives, which will drive progress towards our longer term financial aspirations for the period to 2025.  With that, I'd like to hand it over to Greg for his closing remarks.
Greg Hicks : Thanks, Gregory. Before I close, let me touch on our inventory. Inventory seems to be the hot topic for the industry right now. And I want to be clear that we feel good about our inventory levels and don't see any meaningful margin risk or incremental markdown requirements to clear inventory.  Higher merchandise inventories at the end of June partially reflected a later start to spring this year, and left us with some opportunities around spring and summer categories. We saw good movement on these products in July once the warmer weather finally arrived. And as per usual cadence, we'll let you know how we feel about our spring summer inventory on our Q3 call.  Higher merchandise inventories also reflected more than CAD 260 million of goods in transit for fall and winter categories. Our planning processes continued to have us taking possession of key businesses earlier to ensure minimal supply chain disruptions.  We know we've entered a challenging environment, but at this time, Canadian consumers continue to respond well to our unique multi-category product assortment and shop with us.  And as I said off the top, although we're not immune to macroeconomic circumstances, our business is resilient. And while the quarter is far from over, so far we're seeing solid customer demand I'll reiterate what I said investor day. We have a management team that understands the customer and has demonstrated we can execute in the most difficult times. By focusing on what we can control, we're prepared to execute no matter the conditions. And we continue to see an opportunity for longer term growth. And that is where our focus remains.  We believe our investors will reward well valued companies that are leaders in their industry, as well as well capitalized companies with good growth prospects, a clearer view of strategy, and an understanding of how to deliver against that strategy while remaining operationally disciplined.  And with that, I'll pass it over to the operator to open it up for questions.
Operator: . Our first question is from Irene Nattel with RBC Capital Markets.
Irene Nattel: I was wondering if you could please just spend a couple of minutes talking about qualitatively the consumer demand. So, you've talked previously in the past about the whole good, better, best and maintenance and repair versus new. If you could talk about the demand you're seeing today, and how that might differ from not only a year ago, but pre-pandemic.
TJ Flood: Maybe I can give you a little bit of color from a CTR perspective. As you've articulated here in the lead up, the quarter was certainly dynamic and you had a lot of consumer impacts from inflation, gas prices and interest rates. So I'll unpack a little bit for you on how the business came to us.  Transactions, which is our proxy for traffic, was up. Our average units per transaction was down and average unit price per item was up. So those three components in combination blended us to the POS growth rate that Gregory articulated of close to 4% at CTR.  On price specifically, there was some inflationary impact. But there were also other upward drivers as you articulated. With our strong assortment architecture, we saw customers trading up to our best level of the price range away from the good level. Couple examples of that were in life jackets, where we introduced our new line of Helly Hansen life jackets and we saw migration to the Best level . We also saw that in hoses as well as we launched our Yardworks ProFlex line. And we saw this migration to Best pretty pervasively across. So, we feel good about the fact that customers are trading up.  Promotional activity was a little more pronounced this year versus last year. But I'd attribute that more to our inventory levels this year versus last year relative and not as much to a consumer behavior change. But actually, though, we did slight more items in the flyer this year, but we actually reduced the depth of discount, and promotional purchases are still way below pre pandemic levels.  And when you look at price tiers, we saw no declines in the higher end of our price spectrum. In fact, we saw growth in items priced over CAD 500 and items priced between CAD 250 and CAD 500. So we saw growth at the higher end of the price spectrum.  And what I found fascinating is as Canadians changed their buying behavior, it's actually amazing to see how our assortment flexes with them. As an example, with the late break to spring, we saw categories like bikes and kayaks and paddleboards decline. But that was offset by categories like plumbing, which is just a small department in the category. Plumbing actually almost completely offset the decline in bikes, and auto maintenance as an example completely, and more than, offset the declines in kayaks and paddle boards. So, really speaks to the breadth of our portfolio and how we can flex as the consumer demand flexes. So we think this is a big, competitive advantage for us and not only the breadth of our categories, but how we compete at good, better, best gives us a great opportunity to provide consumers choice no matter what the economic background or backdrop.  So, hopefully, that gives you a bit of color for what we saw from a consumer perspective.
Irene Nattel: Absolutely. You're attributing the decline in, let's call it, seasonal type of products more to weather than to any change in what consumers are doing or the fact that they already bought all that stuff.
TJ Flood: I think that's very well said. We saw a mixed bag in our in our seasonal business. We had categories like backyard furniture, as an example, up in the quarter, whereas things like bikes and kayaks with the late break to the spring weather actually declined. So I would agree with that assessment, with how the weather broke in the quarter and it was very late. Some of those businesses were under pressure. And then when the weather did break in Q3, we're seeing some of these â in July, we're seeing some of these categories snap back. So, I attribute it more to the weather than the consumer dynamic.
Irene Nattel: That's absolutely fascinating. Also, if I could just clarify one point, which is, in terms of the increase,  increase in inventories year-on-year, round numbers, about half is the in-transit. Is that correct? 
Gregory Craig: That's right. That's right, Irene. Just a little over half. Yeah. 
Operator: Our next question is from Brian Morrison with TD Securities.
Brian Morrison: I just want to follow up on the merchandise inventories. You say half of that is in transit. How much of that is pull forward? Is it is it more than half and then also at the dealer level? Can you talk about how inventories are there? Are they high as well and are they in season?
TJ Flood: Maybe I'll tackle that from a CTR perspective. As you know, dissecting key consumer trends and investing in inventory has been a significant driver of our growth and our inventory is up versus year ago, as you pointed out. When you adjust that for inflation, though, the materiality of the growth is less significant. As both Greg and Gregory pointed out, we feel quite good about the composition of our inventory as we head into Q3. The growth is found predominantly in businesses to support fall/winter sales. Having said that, given the late break to spring, we are a little heavy in our spring/summer businesses and a few categories in, call it, bikes and kayaks as a couple of those.  But I wanted to remind folks that almost 80% of our shipments to dealers in Q3 are to support fall/winter businesses. And given our continued global supply chain stream, we made a conscious decision to bring an inventory for fall/winter businesses earlier than we did last year. Categories like Christmas lights and trees and Christmas decor and winter related categories like winter tires are a couple examples of that.  And as you'll recall, we had a very strong growth in our Christmas seasonal and winter weather businesses in Q4 and Q1. So we have bought to support the dealers need to restock.  The dealers are a little heavier in a few spring summer categories. And like us, probably wish they had fewer bikes and kayaks. But there's a lot of games still yet to play in the quarter. So we're going to provide more insight on how we land our spring summer inventory once we get through Q3. And we're managing this really tightly. As you can imagine, you're running the balance of inventory, fueling your growth and making sure that you're kind of really leaning into the consumer insights and the early indicators to make sure, at the category level, we're supporting our growth. So that's what we're going to do as we go forward here.
Brian Morrison: The second question I have â turning to Gregory on CTFS, please. You've got phenomenal GAR growth again. It led to an increase in your allowance provision. Going forward, should we expect this new account growth to decelerate? And really, the GAR growth in Q1 was similar to Q2? So why didn't we see the same impact on the allowance provision in Q1?
Gregory Craig: I was hoping you'll get TJ answer that question as well. But I guess I'll take it. A few things to separate out of that. I think, no question, new accounts are part of the rationale around kind of an ECL increase.  The other the other item that I'll just draw your attention, look at ending receivables over the past few quarters. So if you look at Q4 last year compared to Q1, our ending receivables was basically flat year-over-year, quarter-over-quarter. Then when you move to Q2 to Q1, you actually had a $400 million increase. So when you're comparing â you're looking versus last year, I'm saying look at it more sequentially through the quarters. That's why there was a need to kind of add the allowance this quarter because in Q1 receivables basically were flat to where they would have been a year ago, if you see what I mean. So those are kind of the reasons for the growth in allowance this quarter, why you didn't see necessarily something in Q1, to answer your second half of the question first.  I think in terms of rate of growth, look, we're thrilled. And not just at the new accounts. What I'm really pleased with is kind of the 8% growth in active accounts, which is a composition of new customers and reengage customers. The bank has always been very effective at acquiring new customers. And I'd say last year built that muscle to work that on a digital basis as well. But to see the kind of the progress we're seeing on reengagement, I think is the most kind of positive trend that we've been seeing as it relates to that performance. So we're pleased with 15%. I'm sure Aayaz will not want me to comment on what number we have there going forward. But I would just say we're pleased at where we are, we did say it's an important part of our strategy, and we're going to continue to invest in it.  And if your question relates to, are you worried about economic conditions, as I think my comments suggested and Greg has talked about this previously, we have a very active management of data and kind of leading indicators. And when we get uncomfortable, we can move kind of accordingly and move quickly. So, that's kind of how I would answer your question.
Operator: Our next question is from Mark Petrie with CIBC.
Mark Petrie: I understand the primary drivers of the increase in operating expenses, but hoping you can provide some additional context about the relative materiality of each of those or anything else you can share to help us think about how to expect or what to expect with regards to year-over-year increases in the second half of this year and then into next year.
Greg Hicks: It's Greg. Why don't I start? Gregory may want to pile on. I'd start with saying, we're right where we expect it to be with our OpEx. Comparative periods continue to be tough, as I said, in my prepared remarks â comp, enclosures etc. And then the timing of big OE projects can swing things as well. Gregory talked about DC expansions coming in line this quarter. Our workday implementation as an illustration of a big OE initiative, moved from the first quarter to the second quarter, but we're really comfortable where we are. We have lots of levers at our disposal, as we move forward here, if the environment changes, and customer demand softens materially.  I think we've demonstrated through our OE program the commitment and just new organizational capability to manage our business more efficiently. So, we planned and we initiated that we talked to you about it at Investor Day, this significant investment journey with our Better Connected strategy and we can throttle the pace of various components of that strategy if required. I don't think you're going to see a stop or focus on investing to be relevant from a marketing standpoint with our customers. That's for sure. But we have control over a good portion of our expense base here. And we'll continue to make the appropriate decisions to operate accordingly in the short term, but also manage and invest for the future.
Mark Petrie: Gregory, can you can you share anything just with regard to the materiality of the various pieces of it? Or is that too granular?
Gregory Craig: Yeah, I think we've tried the last few quarters that indicate and highlight where it's come from. The one thing that I think is new this quarter that I will build on and double click a little is we talked about kind of this â the investment in IT, which I know you all heard just part of Investor Day and how we're continuing to invest and fuel kind of our strategies, and that's important to us. But what the investment â it's come to us in a bit of a different form. So what I mean by that is, it's more cloud based infrastructure. So that has kind of caused us to accelerate some of the recognition associated with those expenses. It used to be we put more on the balance sheet, it would be capitalized and depreciated versus coming to us as expense. So, as we've talked about the last little while, there's been a lot of noise around store closures, a lot of impact of 3PLs that we've talked about. And I think they're going to continue into the near term as we're looking forward.  I just want to echo Greg's kind of point at the end, is kind of we have control over our pacing on how we want to move forward as it relates to supporting our strategic investments. And at the same time, we're committed to kind of deliver them because I don't think either of us want us to make a short term decision and stop investing in digital as an example.  So, Mark, we're trying to kind of put all those things together. So, I'm not going to give you the answer is two or the answer is four. But I am going to say that not dissimilar to the bank. We look at this pretty closely very frequently. And if we feel the need to kind of slow things down, we will, but we feel pretty good about what our agenda is at this time and it's supporting the things that are important to this organization. 
Operator: Our next question is from Peter Sklar with BMO Capital Markets.
Peter Sklar: Can you talk a little bit about what's going on at Mark's? You had this 21% comp on top of a 43% comp last year. So, you're getting this great sales growth. Maybe just give us some backdrop there.
Greg Hicks: I'm really glad you asked that question, Peter. We joked as we were preparing that if we didn't get a question about Mark's on this quarter, we probably never will. Mark's just continues to deliver extremely impressive results. And as you point out, in the comping off, a record year in 2021 and the quarter that we â and Q2 was the strongest Q2 on record for the business. I think Pj Czank and the team, they're really, really focused on a stronger inventory position and continue to run into delays, especially in their national brand portfolio, that we believe isn't unique to Mark's.  Gregory talked about some of the key categories â menswear, casual footwear, industrial wear, ladies wear, it's really across the board. We like the emergence of growth in industrial. We think given infrastructure spend and maybe a revamp here of oil and gas in the West that that is a harbinger for future growth going forward. But we're also getting great growth from key national brands. So Levi's, Carhart, Timberland, Pro, they continue to help us attract young adults under 30 and they continue to be the three volume brands for this kind of really important segment for the long term maturity of the brand.  But what I'm most interested in, Peter, is just Mark's ability to drive engagement in our Triangle ecosystem. So if you think about Chek emerging now from a role standpoint in the ecosystem about customer acquisition, Mark's seems to be about engagement. Their loyalty sales grew almost 25% in the quarter, and there was over a 50% penetration of loyalty sales. And active members grew by over 15%. So I think looking ahead, you can expect us and Mark's to continue to remain focused on customer engagement in support of the flywheel. For example, we're taking steps to improve the customer experience with expanded categories, including an elevated Levi's business with Shop N' Shops. We're launching a kids shop on a pilot basis in one of our Ottawa stores, and really kind of extending our marketing reach and using influencers to create more meaningful connections and engagement with this younger audience that's emerging. So, we continue to see a pile of potential with this business, and feel really good about where it's headed.
Peter Sklar: And these penetration rates you've been talking about in the various banners for, call them, penetration of loyalty sales, what does that mean? Does that mean at the point of sale they present their triangle card or they pay through their Triangle MasterCard? Is that what it means?
Greg Hicks: That's right. And the way to think about it strategically is that quote that I just gave you, 50% in the quarter is 50% of the transactions at Mark's, we received first party data that allows us to know more about our customers and personalized engagement with them on a go forward basis. But the mechanism by which we get that first party data is exactly the way you outlined.
Peter Sklar: Just one other question on a different topic. The write-off of your Helly Hansen operations in Russia, did you do that because just the company felt ethically/morally they should not be operating in Russia or just it was tactically what's going on, it was impossible for you to operate? And if geopolitical events were to unfold in a more favorable way and Russia had better behavior, could you see yourself resuming in Russia?
Greg Hicks: It was a choice. It was a choice, Peter. And we decided the right decision for our brand and our company was to exit the market tactically, operationally. We could have decided too â there's no real barriers for us to continue to operate in the country. But we made the strategic choice that we did. 
Operator: Our next question is from Luke Hannan with Canaccord Genuity.
Luke Hannan: Just one for me. And curious to hear your thoughts on your full price versus promo mix, how you're viewing that for the balance of the year. It sounds like, in Q2, there's a lot more full price selling and not necessarily the need to get promotional. So, just curious to hear what your thoughts are for the balance of the year. And then maybe also, what you're seeing in that respect from your competitive set.
Greg Hicks: It's Greg. Why don't I start, Luke, with just Check and Mark's, and maybe, TJ, you want to weigh in on CTR? The overall margin management discipline that we're seeing in both of Chek and Mark's is really a concerted focus to have more margin dollars drop to the bottom line. And we really think one of the ways â one of the critical building blocks for that is to move more and more of the units sold through to the customer at a regular price. So this is a concerted strategy and is something that we don't expect to soften or denigrate from a performance standpoint, as we go forward. It is the way we are running the business. There's lots of levers the teams now have at their disposal, Triangle being the biggest one, to target and rifle as opposed to shotgunning discounts across the whole store that we've talked about before. So, we would expect that this performance and reality with respect to price management in the business to continue in those two banners as we move forward.
TJ Flood: Greg, I don't have much to add to that. We continue to watch it closely. And I would say that we have a great ability with our business model to provide value to customers as we go. And we watch our promotional activity, we're always trying to run that balance of demand creation and appropriate margin investment. And we're going to continue to do that. And we just have way more levers at our disposal now with the Triangle membership as robust as it is. So, we use Triangle to help provide value to customers as well. So we're going to watch it closely and kind of manage it the way we have. 
Operator: Our next question is from Chris Li with Desjardins. 
Chris Li: This may be a bit of a tough question to answer. But I wanted to ask how much earnings visibility do you have for the rest of the year. And I think I'm going to maybe ask it in the context of your 25% dividend increase back in May when there were already a lot of macro challenges. Given your conservative capital allocation approach, if I take the midpoint of your 30% to 40% target payout ratio, the annual dividend rate would imply EPS of something around CAD 18.50, similar to last year's level. Is this fair to assume that this is a good sort of run rate to expect despite some of the near term uncertainty? 
Gregory Craig: I'm trying to think of how to answer your question is the honest truth. I think a couple of things. You have to remember that the dividends kind of relates to the last year. So the increase we made was, we were looking backwards, we felt it was the appropriate to put us kind of in that range because, without that increase, we would have been below our target range. To be honest, it was more that way.  As we're looking forward, I think as we typically do in the fall and as we finalize kind of our plans for the upcoming year, we'll make recommendations to the board on what we think might be appropriate on capital allocation. That would include dividends, and as well kind of share buybacks as we're moving forward.  That's how I would answer your question. Do we have visibility? We have a very well defined planning process and a sense of what that's going to look like. I'm not going to tell you what it is, if that's what you're asking. But, no, I think over the years, especially as I look back over the last little bit with COVID, we spent a lot of time forecasting, as I know your teams have as well, and it's something we keep very tightly and very closely. And before we made that dividend increase, we looked a lot at what we thought and it was the right thing to do kind of period, full stop, end of story.
Chris Li: So stay tuned for that. Greg, you mentioned in your opening remarks that consumer demand remains solid in Q3 so far. I know you've already touched on this with other questions. But can you maybe elaborate more on what you're seeing  coming from and vice versa? Where are you seeing some of the softness so far? 
Greg Hicks: I think, Chris, I'll probably stop short of giving you perspectives at a more granular level in terms of of what we're seeing in Q3 with our business. At a macro level, although probably not news to anybody on this call, we continue to see household spend shifts and strong consumer spending through the end of Q2 despite inflation. The surge in travel and hospitality purchases is yet to subside. domestic and international travel is strong, personal care spending and cash advances are robust, clothing spending is strong, payment rates are still strong in our bank. So we don't see a tremendous amount of change relative to Q1.  I think the pundits would like to us to see some change, but we're just not seeing it. So that's why we do feel really good about a 5% top line looking back in Q2 against the strong comp last year, especially given that we weren't buying the top line with margin investments. And I just want to reiterate, the weather in the West, especially, was a huge headwind year-over-year. And I was visiting with the Calgary team a couple of weeks ago, and they were telling me that it snowed in June for the first time in something like 38 years. So you just have to keep in mind that the weather is a part of our business, the way we go to market, and it becomes easy to overlook that when we're dealing in an environment in which we are. So, we feel good about the weather patterns here in Q3, both in the west and the rest of the country. And TJ alluded to some of that. So we're seeing some movement where we didn't have movement before. And overall, just continue to stand by the comments I made in my prepared remarks.
Operator: Our next question is from Vishal Shreedhar with National Bank. 
Vishal Shreedhar: Just want to get your thoughts on Triangle. Obviously, performing very well. And as management looks to build on the success of that, of that program, do you see the need to get more partners and build more of a coalition offers? It seems like many retailers are emphasizing their loyalty program and some retailers are entering into coalition programs to increase engagement and tire doesn't have the frequency that maybe a gas retailer or a grocery retailer has. So want to get your thoughts on how to grow that business beyond the strong results they've had recently.
Greg Hicks: Again, I guess for context, Vishal, we've certainly talked about how important we view relevance in retail today. And I think from a relevance standpoint, our strategy wins and losses on our Triangle Rewards program. And so, using the program to get to know our customers better and create that curated personalized experiences that are relevant to them, that's what the strategy is all about.  Now, to your point, yes, we don't have food and we don't have a kind of material gas business that presents itself strongly in front of the customer in every region of the country, but as we've talked about, when you think about our financial services engagement, the breadth of our portfolio, the mix of banners, we get the same customer back buying different categories. So, it's a different view to frequency.  I think you've asked before, I know Mark has asked a couple of times, we're building the capabilities that allow for a coalition of owned assets right now. We've dabbled with a couple of partnerships. Those partnerships have performed really well, been good for us, been good for the customer, been good for the partner. And I think it would stand to reason for you to expect to see us to continue to evolve the program either with another or an asset that we would buy or through a partner system. We're building it so that we can plug in either.  And I'd just come back to the comment with respect to Mark's. Our smaller banners are getting significant scale that they couldn't get on their own as being part of the Triangle program, and I think that's just something to keep in mind for either â anything we might tuck into the ecosystem that we would own or partner. But, again, I'll probably use that phrase again, I'll probably stop short of telling you exactly what our plans are in this very strategic portion of our strategy. 
Operator: As there are no further questions, I will turn the meeting back over to Greg Hicks for closing remarks. 
Greg Hicks: Well, thank you all for your questions and for joining us today. We look forward to speaking with you when we announce our Q3 results on November 10. In the meantime, stay well and enjoy the rest of your summer. Bye for now. 
Operator: Thank you, everyone. This will concludes today's call. You may now disconnect.